Aapo Kilpinen: Ladies and gentlemen, dear Remedy investors, welcome to the Webcast for Remedy's Full year Results of 2025. My name is Aapo Kilpinen from Remedy's Investor Relations. Joining with me today are Remedy's Interim CEO, Markus Maki; and Remedy's CFO, Santtu Kallionpaa. Markus will guide us through the quarter and the full year, and then Santtu will dive deeper into the financials. We'll then look at the outlook for 2026 before moving to the Q&A session at the end of the webcast. [Operator Instructions] But without further ado, Markus, please, how did the quarter go?
Markus Maki: Well, welcome, everybody, on -- my behalf as well. It's an end of an interesting year for Remedy, so let's look back at what happened. So starting with Q4, the financial highlights. Our revenue was EUR 17 million, large growth. It was almost on the record level for us, but not quite a record quarter, but very close to that. EBITDA, EUR 3.9 million and EBIT was EUR 0.0 million (sic) [ EUR 0.7 million ] positive. Cash flow was a bit negative for the comparison period. One of the major events that happened during Q4, we, of course, had the change of the CEO and the Chairman of the Board. So I took the role of the Interim CEO and Henri Osterlund took the role of Chairman of the Board. We had -- we decided on a new option plan for our staff for 2025. And we also had a repurchase program for 50,000 of our own shares to optimize our capital structure a bit. And of course, the huge news was that we unveiled CONTROL Resonant to be published in 2026. Looking at the full year numbers, revenue was EUR 59.5 million, 17% growth from '24. EBITDA at EUR 11.3 million and EBIT was then EUR 15 million -- almost EUR 15 million negative, which is the same amount as the last quarter announced Firebreak impairment that we did. Cash flow was positive for the whole year. Santtu will later go deeper into the numbers a bit. So looking at kind of the highlights. So we got the full CONTROL publishing and distribution rights at the beginning of the year. We did release a new game, FBC: Firebreak. We announced that we have sold over 5 million lifetime copies of CONTROL. I think one of the great news that kind of highlights our move into the strategy and into the sales publishing is that 45% of our revenue now was from game sales and royalties, larger number than ever before. And CONTROL Resonant, as said, big announcement. And of course, then the CEO transition was one of the key points of 2025. Moving on to the main topic of the quarter in my mind, which was the announcement of CONTROL Resonant. We revealed the game to the world at The Game Awards in December last year. So let's see the trailer and set the mood with that. [Presentation]
Markus Maki: All right. Yes. So CONTROL Resonant looks like nothing else out there, and we are super excited to be able to talk about it for real after it being in development for a long while. So CONTROL Resonant is the sequel to award winning CONTROL moving out from the oldest house to the streets of Manhattan in an explosive action RPG. And it's coming out later this year for PlayStation, PC, Xbox and Mac [indiscernible]. If you look at kind of the early reception from the reveal and from the trailer, I think it was simply put great. The community sentiment was very positive with lots of engaged fans. And to prove it, we also saw wish listings growing really positively. And we do have a lot of CONTROL lifetime players that we want to appeal to and CONTROL Resonant is also an action RPG that is a large audience segment in itself. So we think that there is a great audience out there for this game. And we are prepared to self-publish this game. We have an ambitious campaign planned running all the way to the launch. We're also planning on working more closely with markets outside of our traditional Western focus as we have a lot of fans in, for example, Brazil and China. And our goal is simply put to build awareness around the game so that it becomes a must-have day 1 purchase for CONTROL and action and RPG fans. Of course, in any entertainment product in any great game, launch window is crucial. So we need a spectacular product. We need spectacular marketing capturing the launch momentum for us. But we are on the road there in my honest opinion. Going to the other games. Let's take a look at the games on the market, starting with Alan Wake 2. So in Q4, we had the PlayStation Plus monthly games with Alan Wake 2, and this actually generated meaningful royalties for us. It was done at the right time in the product life cycle. The game was a couple of years old at that point. And it also kind of converted some fans by -- them buying the -- or got us more fans by -- if you look at the numbers where people upgraded to the Deluxe Edition and so on. So it really had traction on the PlayStation Plus monthly game and steady unit sales on other platforms continued in parallel. CONTROL, lifetime sales is now 5-plus million. We sold over 1 million copies. Of course, the unit price is lower for an older game, but I think that's still a great achievement, shows the interest into the brand. And this is all continuation from buying back the publishing rights for the CONTROL franchise, and we've been in full control of the sales activities since then. So we've actually -- we're pretty happy how last year went on CONTROL sales. And it's also nice to be able to say that the CONTROL Resonant announcement also boosted the sales of the original CONTROL. Firebreak continued in post-launch development. Q4 saw the first large update. And then the second large update, Rogue Protocol was just released after the reporting period in late January. We've gotten good feedback from the core fans, and we've got some new players as well as older players have also been reengaging with the game. But unfortunately, numbers remain on a low but stable level. We are now still working on some smaller updates and balancing for the game, and the game will continue to live on and be playable for gamers in the future as well. Looking at the portfolio, not much changed since last time, except now we have name for CONTROL Resonant. Development work is proceeding normally on Max Payne and the new project. So we're happy with how those are going. But let's look at a bit about the strategy and targets and how kind of what we did in 2025 reflects back to that strategy. So we started the new strategy period in this year and a quick recap on all of the pillars. So on the create and grow world-class gaming franchises, basically, all of the bullet points that I have on the slide have been said before, kind of I'm just trying to bring this into a strategic context. This is using CONTROL as an example, but similar work is happening behind the scenes on all of the other franchises as well. So we are continuing focusing on the back catalog sales, finding new markets, building the franchises with sequels and other ways. Distinctive leading -- distinctive category really leading games. I think these are some -- these could be used as some examples of this strategic pillar. So Alan Wake seen as a horror game being in PlayStation Plus during Halloween, got a really nice audience there. CONTROL resonant, I think you saw -- just saw the trailer can be described as distinctive with a unique look. And it's also an Northlight that helps us make games that consistently stand out in the market. For this way, pillar working in the ways that enable successful productions. A lot of it is happening behind the scenes on how we operate. And that was actually a key of my focus areas before the -- and even after, but especially before the interim CEO appointment. But maybe as kind of a public proof that the engine is running on all cylinders, these points could be mentioned. So we did have one game launch and major updates to that, we had one new game announced this last year, and we advanced one new project to the proof-of-concept stage. So -- and we also did a lot of value-adding improvements, patches, updates to our back catalog, for example, releasing CONTROL on the Mac. And with this pipeline, we are on track to deliver a steady cadence of releases on average, 1 game per year with the current scale and state of operations. So I think we're in a good place, and we'll be moving to a lot better place during 2025 on this strategic topic. Self-publishing, of course, bringing again the points that have been mentioned into this context, full CONTROL rights received during last year, Firebreak self-published and then CONTROL Resonant announced and with an ambitious and global campaign planned for that for '26. And building on those components, we remain committed to delivering on our communicated financial year 2027 targets, which are on the slide here. So doubling the '24 revenue and EBITDA margin of 30%. And the numbers there show a bit how we've kind of -- what we were starting from and where we are in '25 and what our targets for '27 are. With that, passing over to Santtu for the financials.
Santtu Kallionpaa: All right. Thank you, Markus, and good afternoon also on my behalf. So let's start reviewing the financials from the revenue. In the fourth quarter of 2025, our revenue was EUR 17 million, which is 46% is higher than in the fourth quarter of the previous year. Growth was driven by higher level of game sales and royalties, which in Q4 2025 were almost half of the total revenue for the period. The main sources of the growth were the royalties received from Alan Wake 2 and game sales revenue from CONTROL and FBC: Firebreak. We also received development fees for the Max Payne 1 and 2 remake and CONTROL Resonant. Amount of development fees decreased from the comparison period. Revenue was impacted negatively by weak USD rate. The FX-neutral growth for Q4 revenue was -- sorry, 54 percentage, whereas the reported growth was 46%. As we can see from the longer history on a quarterly level, the share of game sales and royalties of the total revenue has increased clearly during 2025. Alan Wake 2 started accruing royalties in the end of 2024, and it has been one of the great revenue sources in 2025. Console game sales were on a higher level than in 2024 as well as the sales of other Alan Wake titles. Revenue from FBC: Firebreak is also included in game sales and royalties from Q2 '25 onwards. Level of development fees decreased in full year '25 compared to previous year. The operating profit in Q4 2025 was EUR 0.7 million positive, improving by EUR 2.1 million from the comparison period. Q4 EBITDA also improved from the comparison period and was EUR 3.9 million positive. The main driver for the profitability improving was a higher revenue level. For the full year '25, the revenue was EUR 59.5 million, 17% higher than in 2024. 45% of the total revenue was from game sales and royalties and 55 percentage was from development fees. The main sources of development fees for the full year '25 were for Max Payne 1 and 2 remake and CONTROL Resonant. Game sales and royalties clearly improved from the previous year. The growth was driven by Alan Wake 2 royalties, BC: Firebreak sales revenue related to subscription service agreements and CONTROL game sales. FX-neutral growth for 2025 revenue was 21%, whereas the reported growth was 17%. For the full year '25, the operating profit was EUR 14.9 million negative. It was affected by the noncash impairment of EUR 14.9 million that was recognized on Q3 '25 related to BC: Firebreak. EBITDA improved compared to 2024 and was EUR 11.3 million positive, and it was driven mainly by the sales development. Looking at the unnetted costs, external development and personnel expenses in total decreased by 5.4 percentage from EUR 12.5 million in Q4 '24 to EUR 11.8 million in Q4 '25. Full year expenses had a similar pattern as the external development and personnel expenses in total decreased from EUR 49.2 million in 2024 to EUR 46.3 million in 2025. Full year external work expenses were EUR 14.3 million in full year 2025, being on a 24 percentage lower level than in the comparison period. The unnetted personnel expenses were EUR 32 million in 2025. Personnel expenses increased in relation to the growth of average amount of personnel. In 2025, the amount of capitalized development expenses was higher than in the previous year following the development costs of the projects, which we capitalize. Game project-related depreciations grew in 2025. In Q4 2025, depreciation expenses in total were EUR 3.1 million, of which EUR 2.4 million were related to game projects. Full year 2025 depreciations were EUR 26.2 million, whereas in 2024, they were EUR 6.8 million. 2025 figure includes the noncash impairment of EUR 14.9 million for FBC: Firebreak. In addition to FBC: Firebreak depreciations related to capitalized game development costs; we also had Alan Wake 2 related depreciations running in 2025. Looking at our balance sheet, intangible assets end of 2025, major part of that is from capitalized development costs of CONTROL Resonant and also CONTROL's publishing and distribution rights that have been allocated to CONTROL Resonant. Depreciations related to these elements will start when the game has been launched later in 2026, and they will naturally have an impact on our depreciation levels. Then let's move to the cash flow. So during the fourth quarter of 2025, the operating cash flow was minus EUR 3.3 million. We paid 24 percentage less operating expenses than during the comparison period Q4 2024. However, we also received less inflowing sales-related payments. This is due to timing. Development fee payments are agreement-based and there is difference compared to the revenue accruals. Royalty and game sales-related payments follow the revenue accruals with delay. For the full year 2025, the operating cash flow in total was EUR 4.5 million positive being EUR 6.5 million lower than in the previous year. Net working capital remained at a similar level at the end of '25 than in the end of 2024. So end of 2025, our total cash level was EUR 29.4 million, including EUR 9.6 million in cash and EUR 19.8 million in short-term cash management investments. During 2025, cash generated from sales and development fees was our main source of income. In total, we received less revenue-related payments in 2025 compared to previous year. At the same time, we invested more in our own IPs by paying the final installment related to acquiring the CONTROL franchise publishing and distribution rights and by investing more in capitalized development costs. Additionally, we also had expenses related to self-publishing activities This, together with the cash spent in purchasing the 2019 option rights in the second quarter of 2025 and purchasing own shares in the fourth quarter 2025, resulted in the cash position declining from EUR 41.1 million in the end of 2024 to EUR 29.4 million at the end of 2025. Then let's still look our revenue and profitability from a historical perspective. As said, in 2025, our revenue level was on an all-time high being EUR 59.5 million with 17% growth from the previous year. The revenue growth was driven, first and foremost, by the game sales and royalties, which significantly increased their share of the total revenue in 2025. Also, EBITDA margin kept on improving in 2025. For the full year, it was 19.1%. The operating profit margin was negative following the FBC: Firebreak-related impairment booking. And now Markus will continue with the outlook.
Markus Maki: Thank you, Santtu. So outlook is short, sweet and simple. For 2026, Remedy expects its full year revenue and EBITDA to increase from the previous year. And with that, back to...
Aapo Kilpinen: Thank you, gentlemen. Thank you, Markus. Thank you, Santtu. Now we are moving to the Q&A session on the webcast. [Operator Instructions] We already have a couple of good questions in the pipeline. So let's begin with those and then move from there. The first questions are in relation to the change of CEO. Will Remedy strategy change with the new CEO?
Markus Maki: So will Remedy strategies change with the new CEO? Strategy is kind of decided by the Board and the CEO is, of course, a big part in shaping up that and how that's going to be. Short term, our goals are completely unchanged, and I don't see big impacts on strategy in the short to medium term. But obviously, every CEO will have some input. That's why we hire a great CEO to have some input to how the company is operating and what the targets are. And hopefully, we get to something that's even more ambitious than what we have now.
Aapo Kilpinen: Excellent.
Markus Maki: That's how I would put it.
Aapo Kilpinen: Super. And then coming to your interim stint, what have you done differently in the company since taking the interim CEO position?
Markus Maki: I think -- first of all, I think an interim CEO is kind of more nurturing what we have and making sure that everything runs as it should. The target for me at the interim period was never to make any massive changes to the company. It was to make sure that we run on -- with a full clock frequency, get great decisions done faster. And I think I've been able to kind of increase that velocity internally and that execution pace, but it wasn't ever a purpose to do sweeping changes in the interim period.
Aapo Kilpinen: Yes. Very good. Then regarding the new CEO, considering the new CEO's previous experience, should this be seen as an indication that Remedy may be changing the type of games it develops or bringing new aspects to the games that they have not had before?
Markus Maki: It's the teams and the creatives that develop the games. And the CEO is, of course, a critical part of the company and the decision-making, but we also chose a CEO that can nurture and take care of our culture and the kind of -- and loves the kind of games that we are doing. So I don't expect any radical changes on that side.
Aapo Kilpinen: Very good. And then on the other hand, what kind of competence does the new CEO bring to Remedy that the company did not have before?
Markus Maki: I think Jean-Charles will bring both kind of the operational excellence and experience having built his career kind of from the ground up in this industry, so to speak, but also something that, for example, I don't have, which is the self-publishing and that side of the experience because we -- I've never had to involve myself with those earlier because we haven't been in that business. We always worked with partners and publishers in the past and in my history. So I think that's a completely new great area that he brings in for us.
Aapo Kilpinen: Excellent. Then moving on to CONTROL Resonant. Can you tell us more about your planned marketing activities and budget for CONTROL Resonant?
Markus Maki: I think we will let our actions speak on that behalf rather than spoil the surprise. You will be hearing more about CONTROL Resonant soon, let's say it that way.
Aapo Kilpinen: Super. Then can you tell us more about CONTROL Resonant's current production phase? Is the game being polished for release at the moment? Or where does the production stand?
Markus Maki: Well, obviously, we have said that the game is coming out in '26, and we do also -- we are also aware of what else is coming out in '26. So I think people can fairly closely guesstimate kind of the launch windows. We're not going to tell anything about those. But if we are confident that we will get the game out in '26 with high quality, with spectacular quality, as I said, the game is pretty far. I won't go into more specifics than that.
Aapo Kilpinen: Very good. And then congratulations on the well-received announcement of CONTROL Resonant. Can you comment on the reception in relation to internal expectations when considering visibility and wish list numbers, et cetera?
Markus Maki: I don't think like the problem is that we don't have a large database of previous experiences to build upon on this kind of what are the metrics that we should follow and so on. But on the goals that we set for ourselves, we kind of reached or exceeded them. So we are happy with those.
Aapo Kilpinen: Very good. And then the actual game itself, can you comment some of the factors that influenced the changes in the genre, the character and the game play? Resonant was announced well and was received well, but it's definitely not a safe sequel.
Markus Maki: Yes. I think -- well, you've kind of stole my words about the safe sequel there. I think you have to kind of also look at kind of the timing. It's been now 6-plus years since CONTROL 1 was launched. I don't think you can do the exact same thing and expect good results. We have a really -- like the team has always had a really exciting vision, what they want to build out of it. And -- but again, I think we have to let the game and the marketing campaign speak for itself. So we're super happy with how it's forming up.
Aapo Kilpinen: Excellent. Excellent. Then maybe to Santtu about the revenue split with Annapurna regarding CONTROL Resonant. Is CONTROL Resonance net sales split to Annapurna 50-50 until recoup? Or are Remedy's marketing investments taken into account in Remedy's favor in the revenue split until recoup?
Santtu Kallionpaa: Yes. So the main rule is that the recoupment of the investments will happen in relation to the investments made by Remedy and Annapurna. So if Remedy invests more, including marketing, that will have an impact on the proportion of how big share of revenue we get during the recoupment. This is the level that we have been announcing before, and I will not go into more details regarding the contract.
Aapo Kilpinen: Great. Then moving to other topics. What are the long-term plans for FBC: Firebreak?
Markus Maki: Well, I think we have to let the gamers decide on that. I've always been kind of a fan of keeping the games alive. And like, as you know, for example, our first game Death Rally is still free on Steam for -- like available for people to play. We also did a remake of that. We've been now updating CONTROL with batches and so on. So we don't -- of course, we are not planning any large investments to it at all. But still, it's a great game. We have fans who like it, and I want to keep it available for them because the cost of keeping it available is not significant for us at all.
Aapo Kilpinen: Yes. Great. And then regarding the Max Payne development project, how far along is it? Is there anything that you can communicate?
Markus Maki: Unfortunately, the Max Payne communications are all driven by Rockstar. So we are working on it hard, but that's about all I can say, unfortunately.
Aapo Kilpinen: Great. Then Santtu, the original CONTROL sold over 1 million copies last year, but what was the average price for those sales?
Santtu Kallionpaa: Well, we haven't been sharing kind of average prices on this level. But I guess it's clear, we are talking about 6 years old game now. The discounts that have been implemented for the game to kind of boost the sales, they have been pretty deep. So we are not, at this point, talking about high average prices.
Aapo Kilpinen: Yes. When you're looking at 2026, do you believe you could gain more royalties/game sales driven in revenue in -- sorry, 2026, excluding CONTROL Resonant, so looking at other games?
Santtu Kallionpaa: Well, I would say that the general rule is that when games become older, of course, the sales level naturally come down a bit. But having said that, of course, there's always possibility to finding new audiences, new geographical markets and doing also B2B deals. So I would say that, of course, we have potential also with other games.
Aapo Kilpinen: Great. Then looking at the guidance, in the 2026 guidance, are there any assumptions you can share? Should we expect development fees to be largely stable, growing, declining, anything of that sort?
Santtu Kallionpaa: The level of development fees, they depend fully on the kind of milestones of the games and how the kind of development proceeds. And looking at our guidance, of course, it's clear that the launch of CONTROL Resonant has a big kind of impact on reaching the guidance.
Aapo Kilpinen: Yes. Then the headcount, what was the number of employees currently at the studio or at the end of 2025?
Santtu Kallionpaa: Yes. End of 2025, our headcount count figure that we have reported is 387. It has been growing by 20 compared to comparison period end of 2024. When looking at those figures, it's good to keep in mind that when you are looking the external development costs together with our staff cost without any impact from the capitalizations or depreciations, that cost pool has come down. So basically, our headcount has been increasing, but at the same time, the external development cost has been coming down.
Aapo Kilpinen: Excellent. Then moving on to topics more in the general market. Markus, can you give us your take on the Google Project Genie? How do you see it?
Markus Maki: Yes. There's like -- well, first of all, I think that technology is, of course, advancing super, super fast, and it's really impressive what they've been able to achieve. But I still think that kind of the market reactions, for example, on some of the tech providers were a bit maybe ahead of their time, at least. It's pretty far out to be able to build a full-fledged entertainment product with that, that people would be ready to pay for, both on the cost side and both on the technology side. But it's impressive development, and we are, of course, following where the world is going. I do believe that at some point, we will probably -- I don't know whether it's 5 years, 10 years, but we might stop rendering triangles and starting generating kind of the final image or with some kind of control and direction as well. That's fine. That's something that when the time comes, when the platforms are there, we are in a good position to do that as well. But for now, I don't think it in the kind of strategy period, for example, changes that many things yet. Interesting development, of course.
Aapo Kilpinen: Yes. And then in Remedy's perspective, what is Remedy's view on how will AI affect game companies? Have you increased the use of AI tools at Remedy? And have you achieved anything concrete with them?
Markus Maki: This is a topic that people really like to make headlines right now. So first of all, I'm a big believer in player value. So doing things that really add something to the gameplay experience, to the player experience. And I'm also a big believer in a creative people in our team and that they know the best ways how to add that value. There is varied interest between different -- in different crafts of Remedy into investigating these AI tools. I do know and I can say that, for example, CONTROL Resonant does not use generative AI content at all, but making far-fledging like far-reaching promises about the future, I think, is pretty hard at this point.
Aapo Kilpinen: Yes.
Markus Maki: But we are actively following the development and seeing if there's anything that really is ethically in the right place and also is something that really can add player value and that our teams want to use, then, of course, I think that's -- then that's an easier decision, let's say it that way.
Aapo Kilpinen: Yes. Understood. Then a couple of questions regarding Northlight. Have you any plans on outsourcing the Northlight engine to other game companies and developers?
Markus Maki: Kind of licensing Northlight to other companies, I think, is something that comes up now and then. We're actually in a really good place with Northlight. We have a great team. The engine is really, really kind of running well. And kind of in a good place with everything. But we have built everything to just support our internal game development team so far. And supporting some -- like at least a larger amount of external people would require a completely different kind of structure and approach also to the development. What theoretically, I would feel possible is that we would find a partner game studio that has enough technical expertise to take on Northlight. And that's something that if the opportunity comes, of course, we're open to discussions, but we don't have any plans outright on that.
Aapo Kilpinen: Yes. Great. Then when it comes to publishing, in hindsight, what have you learned from publishing FBC: Firebreak? And what are some of the things that will have impact in the approach that you take to publishing CONTROL Resonant?
Markus Maki: FBC: Firebreak and CONTROL Resonant are, of course, quite different games as well and with a different audience. So -- but we did learn a lot about both the technical publishing side, so working with, for example, with the console partners with all of the PC storefronts. That was the first time we did all of that on our own, all of the certifications and so on. And we also learned a lot about the digital marketing side, for example, what works there, what are the KPIs we should be following, what platforms are best for the type of content that we do and how do we react to kind of very quickly to the success or failure of a marketing somewhere. So practical learnings all over the place, I think that's the single line answer.
Aapo Kilpinen: Excellent.
Markus Maki: Yes.
Aapo Kilpinen: Then a couple of last questions before we wrap up. Will you, in the future, do more partner games for other companies?
Markus Maki: Partner games like, for example, now Max Payne with Rockstar. And we, of course, had Crossfire with Smilegate. I think that is -- I would never say no, if there's a good opportunity and a good partnership, good IP to work on and kind of stars the line on that side. So maybe, but currently, of course, we have nothing to announce on that.
Aapo Kilpinen: Great. And the final question, some weeks ago, Remedy had the buyback program. What was behind the buyback program?
Markus Maki: The buyback program was kind of, of course, the Board's decision on kind of capital allocation. We saw that it was a good moment to do -- it was a very small one, of course, it was like 0.0% of our share -- amount of shares. But it was a good time to kind of where we saw the share price was and what our kind of capital reserves were, it was deemed as a sensible thing for shareholders to do that.
Aapo Kilpinen: Excellent. Thank you so much, Markus. Thank you, Santtu.
Markus Maki: Thank you.
Aapo Kilpinen: We are wrapping up the Q&A session now. Thanks for the good questions. If you have any additional questions, you didn't have the chance to ask, please send those over to the e-mail address now visible on the screen. We'll be back next with the Q1 results for 2026 on May 5 this year. But until then, bye-bye from us.